Operator: Good day, and welcome to the QuinStreet Fourth Quarter and Fiscal Year 2021 Financial Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Hayden Blair. Mr. Blair, you may begin.
Hayden Blair: Thank you, Casey. And thank you to everyone joining us as we report QuinStreet's fourth quarter and fiscal year 2021 financial results. Joining me on the call today, our Chief Executive Officer Doug Valenti; and Chief Financial Officer ,Greg Wong. Before we begin, I would like to remind you that the following discussion will contain forward- looking statements. Forward-looking statements involve a number of risks and uncertainties that may cause actual results to differ materially from those projected by such statements, and they're not guarantees of future performance. Factors that may cause results to differ from our forward-looking statements are discussed in our recent SEC filings, including our most recent 8-K filing made today and our most recent 10-Q filing. Forward-looking statements are based on assumptions as of today, and the company undertakes no obligation to update these statements. Today, we will be discussing both GAAP and non-GAAP measures. A reconciliation of GAAP to non-GAAP financial measures are included in today's earnings press release, which is available on our Investor Relations website at investor.quinstreet.com. With that, I will turn the call over to Doug Valenti. Please go ahead.
Douglas Valenti: Thank you, Hayden, and welcome, everyone. We just completed a very successful quarter and fiscal year. And we entered a new fiscal year with great momentum and with more capabilities and confidence about our future than at any time in the company's 22-year history. Fiscal Q4 and fiscal 2021 results again demonstrated the underlying strength and the momentum of our business, as we continue to be a leader in serving one of the biggest long-term trends and market opportunities in the world. That is the shift to effective, sustainable, brand-safe and consumer-friendly, digital marketing and advertising. Revenue in our just completed fiscal year 2021 set a company record and approached $600 million. Growth in quarterly revenue, excluding divested businesses accelerated to 47% year-over-year in the June quarter, setting a Q4 record. Adjusted EBITDA grew 71%, expanding margin even as we aggressively invest in a wide range of growth and the product development initiatives. And we finished the year with over $110 million in cash, more than we had at the beginning of fiscal 2021, even after outlays of over $60 million in the year for acquisitions and strategic investments. We delivered all that in FY '21 after divesting businesses that did almost $75 million of revenue in FY '20 and while overcoming the pandemic's impact on credit-driven client verticals. Looking forward, we believe the market opportunity in our current footprint represents billions of dollars of potential revenue for QuinStreet. We believe we are better positioned to compete and execute against that opportunity than at any time in company history. And we are investing in big, new initiatives and opportunities in number and at a pace unprecedent in company history. In the meantime, current business momentum is strong. Everything is up and to the right. All of our client verticals and all of our major initiatives performed well in fiscal Q4 and continue to do so. Insurance budgets continue to migrate to digital and to our performance marketplace solutions. We had more major carriers spending over $1 million per month with us in Q4 than at any time in company history. And most of those clients are still early in the ramp to the wallet share we eventually expect to earn. Also in insurance, we are successfully adding and scaling multiple new product and service offerings, including, of course, QRP, which continues to progress with the pipeline continuing to strengthen and where our estimates of the size of the opportunity have only gotten bigger. We expect revenue from the ratings platform to inflect from just over $1 million in FY '21 to at least several multiples of that in FY '22. Home services continue to grow at high rates in Q4. And we expect strong organic growth in FY '22 as we add two existing client budgets, signed new clients and expand into new service verticals and in-market where client budgets continue to migrate to digital as do consumer shopping habits. That's three big executional growth vectors in the midst of a long-term rising tie in home services, one of our largest addressable markets. Then, there are the credit-driven client verticals, mainly personal loans and credit cards, that returned to year-over-year growth in the June quarter. We are well positioned to continue the momentum in personal loans and credit cards in FY '22 as the economy and employment improve. In total, and in summary, there has simply never been a better time for QuinStreet. Turning to our financial outlook. As you probably have now realized, we expect double-digit organic revenue growth to continue in fiscal Q1 and FY '22 and frankly well beyond. As a reminder, we lapped the Modernize acquisition on July 1st. Revenue in the September quarter, our fiscal Q1 is expected to be between 150 and $155 million, seasonally consistent with last quarter's outperformance and representing 20% year-over-year growth excluding divested businesses at the midpoint of the range. We expect fiscal Q1 adjusted EBITDA to be between 13 and $13.5 million. Our initial outlook for full fiscal year 2022 is that revenue will be between 635 and $665 million, representing 15% year-over-year growth excluding divested businesses, at the midpoint of the range. With full fiscal year 2022 adjusted EBITDA estimated to be between 63.5 and $66.5 million, representing about 25% growth at the midpoint of the range and another year of margin expansion. With that, I'll turn the call over to Greg.
Gregory Wong: Thank you, Doug. Hello and thanks to everyone for joining us today. Q4 wrapped up a phenomenal year for QuinStreet. For the fourth quarter, total revenue was $151.2 million and grew 47% year-over-year, excluding divested businesses. Adjusted EBITDA was $14.3 million and grew 71% year-over-year. Adjusted net income was $9.6 million or $0.17 per share. Looking at revenue by client vertical. Our financial services client vertical represented 75% of Q4 revenue and grew 27% year-over-year to $112.2 million. As expected, we saw all of our financial services businesses delivered year-over-year revenue growth in the fourth quarter. Our Home services client vertical represented 24% of Q4 revenue and grew 157% year-over-year to $36.9 million, a record quarter for that business. Home services continues to outpace our expectations due to strong organic growth and the continued success of the integration and capturing of synergies from the Modernize acquisition. Total organic growth in home services was 47% year-over-year. Other revenue, which consists primarily of Performance marketing, agency and technology services was the remaining $2.1 million of Q4 revenue. Turning to our full fiscal year 2021 performance. For the full year, we posted record revenue of $578.5 million and grew 18% year-over-year. Total revenue, excluding divested businesses was $566.8 million and grew 36% year-over-year. Our financial services client vertical represented 74% of full year revenue and grew 17% year-over-year, excluding divested businesses. During the fiscal year, we accelerated our year-over-year growth rates in financial services, going from 4% growth in Q1 to 18% growth in Q2 and Q3 to now delivering 27% growth in Q4. Our home services client vertical represented 23% of full year revenue and grew 169% year-over-year to $134.5 million. Total full year organic growth in home services was 23%. Other revenue represented the remaining $5.4 million of full year revenue. Adjusted EBITDA for the full fiscal year 2021 was $52.3 million or 9% of revenue and grew 44% year-over-year. Turning to the balance sheet. We closed the year with $110.3 million of cash and equivalents. We began the year with $107.5 million and the big movements throughout the year for the generation of $50.6 million in operating cash flow and $20 million from the sale of our education business, offset by cash outflows of $61 million for acquisitions and strategic investments and $5.1 million of capex. Looking back, fiscal 2021 was a transformative year for QuinStreet. We completed our strategic program to narrow our footprint to our best and fastest-growing opportunities with the divestiture of our education client vertical. We also greatly expanded our presence in our home services client vertical with a successful acquisition of Modernize. In addition, we executed on a wide range of initiatives in our financial services client vertical, which resulted an accelerated revenue growth throughout the year. And we expanded margins while continuing to invest in our people, products and technologies for future growth. I want to thank and congratulate the entire QuinStreet team for these successes amid the backdrop of the pandemic. With that, I'll turn the call over to the operator for Q&A.
Operator: [Operator Instructions] We'll take our first question from John Campbell with Stephens Incorporated.
John Campbell: Congrats on a great quarter and the great guidance. Looking out to FY '22, with the guidance, you guys, it looks like low to mid-teens growth, I guess the 20%, the ex-divestitures. And clearly, you guys expect kind of continuation of good growth. But it also sounds like from the QRP side, that may be a little bit of a pop of the QRP revenue, so that's great to see as well. But and I know the gross margins, that's going to be highly influenced kind of on the top line scale. So I'm guessing you guys are expecting gross margin expansion next year. But how should we just generally be thinking about the pace from here?
Douglas Valenti: On gross margin, Greg, do you want to take that?
Gregory Wong: Yes. I mean, I would - John, similar to what we've talked about in the past, we're primarily a top-line driven model, which means incremental revenue falls in the income statement on top of the semi-fixed cost base that grows at a much lower rate. So as we see the top-line growth throughout the year, I expect to realize that margin expansion with the additional top-line leverage. So again, in the guide, we assume and we expect to expand margin again into the double-digits this year for the full year.
John Campbell: And then, Greg, I'm curious, what do you consider for QRP revenue in guidance or have you factored any of that in?
Gregory Wong: To be honest, John, a very little right now is factored into the outlook. It's still very early for us. And as we've talked about, it's very hard for us to predict the ramp of that accurately. So as part of the outlook, it's very little included in terms of the outlook.
John Campbell: And then, on the personal loans and credit cards, I mean, we've heard from others in the channel. It sounds like things are firming up there nicely kind of from the backdrop standpoint. But just curious about kind of the rate of recovery, not just in the quarter, but kind of what you saw in July if the pace kind have accelerated? Just any kind of call-outs there.
Douglas Valenti: We saw great expansion, the acceleration kind of April, May, June. July was a continuation though the slope moderated. So I'd say that we've had a big ramp. It's been - it's - we're not yet back to pre-COVID levels. I think the delta variant has had a little bit of a suppression effect. It hasn't pushed the curve back down, but it's slowed to ramp a little bit. We fully expect that we will be back. We've regained a lot. We think we'll be back to pre-COVID levels by the end of the fiscal year though based on the - everything we're seeing in terms of activity, both in media and with the clients. And if I could John, let me go back to the QRP comment just to make sure that's not misunderstood. We have very little QRP revenue in the guide, not because we don't expect to do at least several million dollars as implied in the - in my comments, because that ramp is going very well. But frankly, because we want to start the year being relatively conservative. And again, we don't know the exact shape of that curve. And frankly, we don't have to put very much in there to still have a pretty strong outlook on results.
John Campbell: No, we certainly appreciate that approach for sure. Thanks guys.
Douglas Valenti: Thank you, John.
Operator: Our next question will come from Jason Kreyer with Craig-Hallum.
Jason Kreyer: Doug, I love hearing the enthusiasm from you. It certainly seems like you're starting to see some competitive separation or I guess, looking at the numbers, maybe you've been seeing competitive separation for a few quarters now. But I'm just curious if you can maybe, at a high level talk through what you think is driving that in terms of your vision or what you're hearing from customers that's allowing you to maybe take on more budget than we're seeing from other people?
Douglas Valenti: Thank you, Jason, good to hear your voice too. I do think we're seeing competitive separation. And I think it's - it began a while ago. I think there's some compounding effects. We've been investing very aggressively in what we think is the real future state of this channel and of these verticals and the products necessary to do that and the relationships and integrations with our clients and with our media partners to do that. And we are definitely beginning to see those take hold and have an impact. We went through a few years there, where there was a lot of competition coming into the channel and a lot of folks doing things. So I would just say kind of glorified circuit 2005 models that not really investing in the future of the channel for the consumer or for the clients and we're doing that. And it's exciting to me because we did it in state that it would work out. And because we obviously saw evidence and had alignment with our clients and our partners. But we are beginning to see that has a real impact. And that's even before we get into the fat part of the growth curve on QRP which is coming and a couple of other products that we're rolling out. One of which has every bit as much opportunity and potential as QRP. And so, I think it's - we've always been more technology-focused in really than our competition despite what some of them say. We have rolled that investment forward. It is investment that we think aligns with the exact things you have to be able to do better to win in the long run, both with the consumer and with the clients. And I think, as I said, I think, we're getting a time and compounding on that. And we definitely are beginning to see the curves based on what we're seeing in the market and what we're hearing in the market and based on our wins of budget and our wins with media, we're starting to see this curve separate.
Jason Kreyer: Perfect. I appreciate that. I wanted to ask kind of a multipart question on QRP. So just curious if you can give some color on what's driving this critical mass that's causing an inflection that you expect this year? And then, on the margin side, I mean, do you still expect to see those type of software margins we've talked about before? And then, curious if there's a certain revenue level you need to hit before we start seeing those types of margins?
Douglas Valenti: Yes. The thing that's driving the view on the inflection is just more and more of these clients that we've had signed for some time and then had to go through the integration phase and the testing phase and the early rollout phase just further and further in the pipeline and beginning to see them ramp-up on the other side of that after - and we've that nobody that hasn't been successful to those phases by the way. And so, you're just kind of getting what you typically get in the pipeline as that folks are moving ahead and were getting to the point where that they're hitting their revenue ramps online rather than the testing ramp or the integration ramp or the other sides of it. So it's just progression of the pipeline. And we do expect it to be quite an inflection, because so many of them are getting to that point. And because, frankly, we have some very big partnerships that are going to be either ramping soon or getting into the early stages of testing soon. And some of those are kind of game-changing numbers for QRP. So just an awful lot of momentum and the natural progression of folks coming through the pipeline. And frankly, in the COVID, it's helped some in the COVID. COVID waning at least for a while helped some, because we had a little bit more activity in the pipeline. It slowed a little bit just because folks weren't as aggressive on new projects as present in the office. So a lot of good activity and activity acceleration as well on the pipeline. In terms of margin, yes, it's a fixed - we have basically a fixed cost in our engineering teams and product teams and that revenue comes in at an incremental variable margin of basically 100%. It doesn't cost us anything to serve another rate to another partner. And so, while we will have to add some more heads, the margins on this product are going to be 80%, 90% all in pretty easily. And you do have to get to a huge volume to get there. I mean, I think we get to that point somewhere and Greg, make sure I get this right, probably somewhere in the - between $5 and $10 million a year in revenue. We probably start getting to the 80% margin all in. And because it's just not - this is a product that we've had for a long time that we have been running for a long time for some of our partners to be able to show competitive rates. And so, the incremental team members are really minimal versus the revenue ramp. So that - I think that's kind of the - how we see it.
Jason Kreyer: And I apologize for one more here. But several times, you've mentioned kind of new products and investments and opportunities. Just wondering if you can maybe shine a little bit of a light on what you've got in the pipeline there?
Douglas Valenti: Yes. I'd love to, but and our competitors listen to these calls too. So I can tell you that when I say that these are not small things. I mean, we are - we've got - let me size some of them for you. We had one that we launched in a meaningful way, probably six to eight months ago. That looks like we will do over $3 million a month here shortly. We've got another one that is a SaaS like margin profile product that fits into a couple of our verticals, where we think the opportunity is well north of $100 million for QuinStreet not unlike QRP. And that one is one that we've made some strategic investments in to - so we're quite a ways down the path. That's not a clink on our eye. That's a real product and some real verticals where we have real traction with real product and real customers in terms of the integrations and the demand. We have some media, new media initiatives. One of which is fairly early, but rolling out now and ramping now. We think that need initiative could get to be $60-plus million a year in revenue at more than double our current margins in that particular vertical. So and that's just three of, I could probably ran off seven to ten like that. I mean, so we've got some big game moving, largely technology and/or partnership driven opportunities that we see trend lines coming and none of what I just mentioned. On two of the three are proprietary to us, none of our competitors have anything like them in terms of capabilities and just wouldn't be able to get there from here. And then, one is one that some of our competitors already do. We just haven't been active enough in, but it's coming really fast for us.
Jason Kreyer: Perfect. We look forward to hearing about the other seven to ten on next quarter's call. So fix that.
Douglas Valenti: Great. Thank you, Jason.
Operator: Our next question will come from Adam Klauber with William Blair.
Adam Klauber: The auto insurance companies are beginning to experience some higher loss ratios as people return to work or return to driving - and also some higher severity levels. Progressive has talked about cutting their marketing budget, not necessarily the digital marketing budget. The other ones really haven't mentioned yet. So are you, I guess, hearing or seeing any, I guess, response as far as digital budgets being cut, given where its profitability at the insurance?
Douglas Valenti: We have not seen that yet Adam. We understand what you're referring to in terms of the industry dynamics. We reviewed your piece on Progressive, which came out pretty recently, maybe even today, which we thought was insightful. I think the - so we understand and believe that what we might see. But again, we have not seen any of our clients lower their budgets to us or their pricing to us or anything else in anticipation of reaction response to this at this point. But we do understand that with the higher activity levels, a lot of the carriers are seeing some higher loss ratios. And then, obviously, when that happens very often that results in them cutting marketing spend broadly. To your point, whether or not that will affect digital, which is the best-performing channel for every client that we know of, remains to be seen. How long it lasts remains to be seen, because we also know and you noted in your piece that a number of the carriers and one of the leaders in particular has already begun to take rates up in anticipation of getting in front of the curve. And what happens when they do that, because others will follow them is that you drive shopping - consumer shopping, because, first thing, most consumers do when their rate goes up as go see if they can find somebody else to buy insurance from cheaper. And so, we think that while there may be some softening of auto insurance budgets, whether or not it happens in our channel or not remains to be seen. And again, we have not had that happened yet. We think we might be on the front end, more importantly of a shopping cycle, which is the best thing that ever happens in our channel. And we know that the curve of increased shifting of budgets to digital overall, the overall arc of that curve whatever happens in short-term fluctuations and loss ratios is still up and to the right and frankly accelerated and steepened during COVID. So we feel really good about the - we feel good right now about the short-term we've only getting more budgets. If we see some softening, we certainly - we'll still feel good about this outlook. And we feel great about the medium to long-term given the shopping cycle and the overall trends of budgets to digital.
Adam Klauber: And along with that, and I don't look for exact numbers, the Progressive is obviously very sizable. But my understanding is particularly in the last 12, 18 months, you've seen a lot of the other competitors really begin to ratchet up their share of digital wallet compared to what it's been historically. So I guess, in the last 12, 18 months, when you said that's been driving more growth than it historically has and are you seeing that continue at some of the players who maybe just didn't really adopt the digital channel a couple of years ago?
Douglas Valenti: Yes, 100%. No question. As I said in my comments - my prepared remarks, a record quarter last quarter in terms of number of carriers spending over $1 million amount with us. And in fact, June was the peak of the quarter. So just continue ramp of that. And we are seeing a lot more participation at a lot greater scale by a lot more carriers in digital which is great obviously because we're a marketplace company. And obviously, it's great for us because it expands the overall budgets, but also expands the choice for consumers. So absolutely, yes.
Operator: We'll take our next question from Jim Goss with Barrington Research.
Jim Goss: It seems like a light switch was turned on and you moved from a company with some challenges to one firing on all cylinders. I'm wondering if - I know, it wasn't exactly like that. Could you talk about factors affecting some of those categories that were lagging and any of the timing? And then, I've got a couple of others.
Douglas Valenti: Yes. I think Jim, much of it was timing of initiatives that we were working on and for the businesses that we stayed in. I mean, there are a couple of factors. One was initiatives that we had been investing in coming - beginning to come to fruition and we have a whole pipeline of those, but we're finally getting to the point where they were rolling out. And those had been diluted somewhat diluted somewhat by the time we were in a broader range of businesses and had to spread our resources more thinly and weren't able to focus as aggressively on those as we have been lately in terms of accelerating the progress and rollout of those initiatives. So that was a big part of our narrowing of the footprint was to say, we got to - we just have to put more wood behind some of these arrows. And we can't do that when we're in the format that we were in. So I think that's a big part of it. And then, you've combined that with just the - and I think that's the biggest part of it. You combined that with the focus, just general focus across the company on the businesses as we're including the ability to wrap our minds around, execute and integrate the Modernize acquisition, which would have been very difficult for us to do if we had the broader footprint, frankly, again, because of the dilution and spreading of efforts and resources. And so, I think, generally speaking, it's the program to do a strategic review, to be very honest with ourselves about where we felt we had the opportunity to build a big business into win and then to pair back and focused on those areas, so that we could get more progress on the key initiatives that we felt like we needed to drive as well as more focus in those areas who could bring all of the capabilities to bear. I think those are the main factors that you're seeing play out. And then, we didn't - when we picked these businesses, we picked them for a reason. Again, we've taken because they are big opportunities. And we take them because we believe that we can win in it that we have great competitive capabilities and that we have a future state product that matches up with what we think is going to be required to be a big winner in these verticals. And I think you're seeing those things come to fruition.
Jim Goss: Okay. Well, Doug continuing down that path. Even if you have, say, the seven to ten, $50 million to $100 million business opportunities and the back of in-home services for example, do you think you would pick several to prioritize and that spread yourself to thin and then pursue those or maybe stagger them in just so that you don't run into a problem or do you think you have the capability of doing that many all at once?
Douglas Valenti: No, I think it's a great question. I think that we've - that's exactly what we have done, as we prioritized down to the ones that we think are the biggest, most impactful, most sustainable. And we're putting our efforts into those. And we've really - that represents a real narrowing of the breadth of activity we had on so many different dimensions. So it's just more unity and more focused, more cohesion around a smaller number of much bigger, much more important long-term opportunities and initiatives that we've had in many, many, many years. So I think yes, you're 100% right. And we are 100% doing that.
Jim Goss: Okay. And maybe one final one for now. You've boosted a couple of your opportunities with some tuck-in acquisitions, most notably, your home service doubling they did a year or so ago. Are there other tuck-in acquisition opportunities that would be similar that might jump serve some of those even more?
Douglas Valenti: Yes, there are. This is still a very fragmented industry. There's going to be a lot more consolidation. We are, as you have seen with M1 and Modernize and many, many others before them, even getting into insurance years ago when we acquired SureHits, we are a very effective platform for consolidating in the Performance marketing channel and there are going to be many, many more opportunities. We look at literally dozens of - certainly dozens of opportunities here. We look hard at probably at least ten opportunities a year and we'll do maybe one to two decent-sized ones. But there are - we are actively looking at some now. Whether or not we do them will come down to the pieces come together and all the dimensions we care about in terms of the opportunity, the checks on the capabilities and what we would be assets and of course the price. But yes, there will be - there are many more candidates and there will be more consolidating acquisitions by QuinStreet to continue to accelerate what we do. And they will likely have very similar success in terms of - we buy at one price and we put it together our business and one plus one equals three, like it almost literally has for both M1 and Modernize. So I think you're going to continue to see more of those and it's just something that's - it's natural for us, it's natural for the channel.
Operator: Our next question will come from Sam Flynn with Lake Street Capital Markets.
Sam Flynn: Sam Flynn on for Eric Martinuzzi. So just really quickly on seasonality. I think you have mentioned that you expect a similar level of seasonality in the first quarter of 2022. Just want to sort of get a better understanding of how you're thinking about that going into the full year? And if there's going to be - do you think any change to that in 2022 as a whole?
Douglas Valenti: Greg, do you want to take that?
Gregory Wong: Sure. Happy too Doug. Yes and it's - our typical seasonality is from the June to the September quarter to be fairly flat. And then, as you move into the December quarter, that was typically our weakest quarter from a seasonality basis. And it's really the result of the holidays one, the holidays, which means clients typically have lower staffing, which means they have a lower demand for performance marketing products and you also have end-year budgets. So in the December quarter, you're typically down about 8% to 10% sequentially. You then come roaring back in the March quarter, which is typically our largest quarter, where you have fully stepped, the clients fully staffed, call centers, et cetera, et cetera, new marketing budgets for the year, where you're typically up 15% to 20% sequentially. And then, in the June quarter, you're typically down about 5% to 10% or so sequentially. So that's the normal seasonal trend. Obviously to grow, you outpace some of those trends on any given quarter, but that's the normal trend of the business and I wouldn't expect much difference throughout the year from a seasonality perspective.
Operator: Moving on to our last question will be from Chris Sakai with Singular Research.
Chris Sakai: Hi Doug and Greg, congrats on the quarter. I just had a question. I know someone you sort of already touched on it on M and A going I guess into the next year. I wanted to get your thoughts on that.
Douglas Valenti: Yes, Chris. We - again, we're a natural acquirer in this industry and this industry continues to be both dynamics. There's a lot of creation of new business models and fragmented. And we have shown great success and we've built to be able to be a platform model, so that we can take a business like that, typically drop it under our system and either improve monetization, because we have more client budgets and better technologies for matching and optimizing or better scale it, because somebody's got a budget. They don't have the access to the breadth of media we have or they haven't done or just improved their performance of the business generally because we have technologies for segmentation, matching and optimizing that are so critical in this data-driven channel that they haven't been able to invest in. So we're - it's a channel that has a natural opportunity for consolidation. We are a platform that has not only a - we're not going to build to be able to consolidate, but we've proven we can successfully consolidate and add a lot of value to what we buy. So you will see us continue to look for those opportunities. We may or may not do them because all the pieces have to come into place to an including price. But generally speaking, we're able to pay a pretty good price for assets like that because we can get so much more out of them than the previous owner. So that's why you've seen us year in and year out typically make a couple of decent-sized consolidating value-adding acquisitions in the various verticals. And you'll continue to see us do that. You'll see us do that in media sometimes. You'll see us do that in particular verticals where there might be access to client budget we don't have. You'll see us do that, as I said in places where it's just a parallel business, but they don't have either our media reach, our client budgets for our technologies. So you will likely see us continue to do that. We always have an active pipeline. We have some great professionals who are always working on that for us.
Chris Sakai: And then, I guess, for my last other question was, have you guys considered a share buyback with your cash?
Douglas Valenti: Our first and most important use of cash is to find more Modernizes and M1s and acquisitions like that. So we're going to - and for our size, we have quite a bit of cash. We don't have an excessive amount of cash. So I'd say that our first priority for cash is to keep a strong balance sheet to continue to give us the flexibility to do the things we need to do to grow the company in the long run, including making acquisitions opportunistically if and as they come along. So those are the things we think about when we think about cash.
Operator: This concludes today's call. A replay of today's call is available by dialing 1877-911-4059 and using the passcode 24627720. Again this concludes today's call. Thank you for your participation. And you may now disconnect your phone lines.